Operator: Good morning, and welcome to the Ionis Pharmaceuticals First Quarter 2022 Financial Results Conference Call. As a reminder, this call is being recorded. At this time, I would like to turn the call over to Ms. Julie Tepper, Investor Relations, to lead off the call. Please begin, ma'am.
Unidentified Company Representative: Thank you, Chuck. Before we begin, I encourage everyone to go to the Investors section of the Ionis website to view the press release and related financial tables we will be discussing today including a reconciliation of GAAP to non-GAAP financials. We believe non-GAAP financial results better represent the economics of our business and how we manage our business. We have also posted slides on our website that accompany today's call. With me this morning are Brett Monia, Chief Executive Officer; Beth Hougen, Chief Financial Officer; and Eugene Schneider, Chief Clinical Development Officer. And joining us for the Q&A portion of the call are Eric Swayze, Executive Vice President of Research; and Onaiza Cadoret, Chief Product Strategy and Operations Officer. I would like to drive your attention to Slide 3, which contains our forward-looking statements. During this call, we will be making forward-looking and language statements that are based on our current expectations and beliefs. These statements are subject to certain risks and uncertainties, and our actual results may differ materially. I encourage you to consult the risk factors contained in our SEC filings for additional details. With that, I'll turn the call over to Brett.
Brett Monia: Thanks, Julie. Good morning, everyone, and thanks for joining us on today's call. This year, we are already off to a very strong start. We continue making excellent progress to building our commercial organization, advancing and expanding our technology in moving towards delivering an abundance of new medicines to the market. This includes the great progress we're making with our near-term commercial opportunities at inotersen, olezarsen and donidalorsen. The Phase III NEURO-TTRansform study of eplontersen in patients with TTR polyneuropathy remains on track for data midyear and working hand in hand with AstraZeneca, we're preparing to file for regulatory approval by the end of the year, assuming positive data. At the same time, we're also trying to advancing our go-to-market preparations. We recently achieved our original enrollment goal in our CARDIO-TTRansform study for patients with ATTR cardiomyopathy. And last week, we announced that we took a bold step by increasing the size and duration of our study. And in doing so, we expect to generate even more robust data better positioning us to successfully compete in this dynamic market estimated to grow to well in excess of $10 billion. Based on these updates on our current risk enrollment rate, we expect a modest shift in our time line with data reading with data readout shifting from late 2024 to the first half of 2025. We also continued to advance our olezarsen Phase III program in patients with high triglycerides. The BALANCE study of patients with familial cargomycrodemia syndrome or FCS, remains on track for data next year. In the core study in patients with severe hypertriglyceridemia, sHTG continues to progress with data expected in 2024. Severely elevating triglycerides is a key independent cardiovascular risk factor for which current standard of care therapies are ineffective. With over 3 million patients in the U.S. with severe hypertriglycemia and our first-mover advantage, we believe all sarso represents a blockbuster opportunity for Ionis. Our Phase II OASIS-HAE started with donors in patients with hereditary angioetemia also continued to progress well with data expected in 2024. We believe donidalorsen has the potential to be a best-in-class prophylactic treatment for HAE patients. And as a result, donidalorsen represents significant opportunity for us given the significant unmet medical need of these patients in this growing $1 billion dollar plus market. We also made excellent progress across our rich mid-stage pipeline. AstraZeneca presented positive Phase IIb data in ACC in April from the ITG study of ION449, our PCSK9 medicine in patients who are at high risk for cardiovascular disease with hypercholesterolemia. The study managed primary and secondary endpoints show good safety and tolerability and ION449 demonstrated a potential best-in-class profile. With more than 10 million patients in the U.S. who remain above their LDL-C goal despite maximum statin and ezetimibe therapy, we believe ION449 could be a significant opportunity for us. Additionally, we reached full enrollment in the Phase IIb study of IONIS-AGT-LRx in patients with treatment-resistant acretension with data expected in the second half of this year. We're also evaluating IONIS-TTRRx in a Phase II study in patients with chronic heart failure with reduced ejection fraction. These indications combined represent over 15 million patients in the U.S. alone. Despite advances in therapies, the significant need remains for more effective treatments to address treatment resistant hypertension and heart failure. Looking ahead, we expect numerous additional catalysts highlighted by the Phase III of Monteria read out midyear and our planned regulatory filing by year-end. We also expect 3 more Phase IIb data readout several key study initiations and updates on important technology advancements. And with that, I'll turn the call over to Beth to review our first quarter financial results. And Eugene will discuss our recent key pipeline updates and preview upcoming catalysts through the rest of the year. After Eugene, I'll wrap up our prepared remarks before taking your questions. Now over to Beth.
Elizabeth Hougen: Thank you, Brett. Our first quarter financial results clearly demonstrate a key element of our financial strength. That is our ability to consistently generate substantial revenue and cash from numerous diverse sources. Our revenues increased more than 25% year-over-year to more than $140 million and were split approximately 50-50 between commercial and R&D revenues. Our operating expenses and net loss, both on a non-GAAP basis were in line with our expectations. And we ended March with a healthy balance sheet, including cash and investments of $2.1 billion. These results keep us on track to meet our 2022 financial guidance. We earned $72 million in the first quarter in revenue from our marketed products with the majority coming from SPINRAZA. SPINRAZA's global sales were $473 million, increasing more than 7% compared to last quarter. As a result, we earned $54 million in royalty records. Just as a reminder, our royalty rate reset at the beginning of each year. And as in prior years, we expect to quickly move through the royalty tiers and reach the highest year time midyear. MASA revenue increased in both the U.S. and ex U.S. in the first quarter compared to the fourth quarter last year. In the U.S., new patient starts for SPINRAZA reached a 2-year high while this continues -- discontinuations continue to decrease. Outside the U.S., the increase in SPINRAZA revenue was driven by strong initial uptake in China. It recently presented updates from the ASCEND and RESPONSE study in patients previously treated with competitive products. Biogen also presented new results from the NURTURE presymptomatic study, which continued to show that patients receiving early and sustained SPINRAZA treatment achieved and maintain motor milestones consistent with normal development. Based on these results and SPINRAZA's attractive profile, we continue to see a bright future for SPINRAZA. We earned R&D revenue of $70 million, which more than doubled compared to the same quarter last year. We earned R&D revenues from several different partners for advancing 15 programs and revenue from our strategic collaboration with Biogen was the largest contributor. We earned $40 million in the first quarter from Biogen for advancing numerous neurological program. Our R&D revenue also included $20 million in payment cost sharing payments from AstraZeneca for their 55% of aplentersen's first quarter development costs. We reported non-GAAP operating expenses of $173 million, which was a 9% increase compared with the same period last year. R&D expenses increased by more than 25%, driven in large part by the 6 Phase III studies we are currently conducting. Our R&D expenses also included increased spending for CMC and medical affairs activities to support our near-term commercial opportunity. SG&A expenses decreased year-over-year by about 40%. This was largely due to the substantial savings from the Akcea integration and Sobi transaction. These savings were offset in part by the investments we are making in our go-to-market preparation for eplontersen, losartan and donidalorsen. Looking forward, we expect our revenues in Q2 to be similar to Q1, and we also anticipate the second half revenues will be more weighted towards the back end of the year. We project operating expenses to increase in Q2 and over the course of this year. Consistent with our guidance, we expect R&D expenses to increase between 25% and 30% this year compared to last year as our Phase III studies continue to progress. We project our SG&A expenses to be in line with last year, even while we increase our investment in preparing to bring olezarsen into needle ore to the market. with $2.1 billion in cash and investments at the end of March, combined with our ability to generate substantial revenue for many diverse sources. We have the financial strength to underwrite the investments we are making to drive significant future growth. And with that, I'll turn the call over to Eugene.
Eugene Schneider: Thank you, Beth. I'm pleased to report on the continued pipeline progress we made during the first quarter. Our Phase III programs are progressing well. Not a balance is at an terse with data from the Phase III NEURO-TTRansform study expected midyear. And as Brett said, we're preparing to file for regulatory approval in the second half of this year, assuming positive data. Additionally, we're looking forward to presenting baseline characteristics from the neuro transform study at the peripheral derm Society of Congress later this month. Last week, we announced that we achieved our original enrollment goal, ending up interested Phase III CARDIO-TTRansplant study. We also announced an important amendment to our study. The amendment included expanding enrollment to approximately 100 patients from 750 patients and extending the blinded dosing period to 140 weeks from 120. The CARDIO-TTRansform study is the largest study in patients with ATTR cardiomyocyte who was designed to generate clinical evidence of Uponor's benefit when administered alone or in combination with stabilizing. This should enable physicians and payers to make the most important decisions. By increasing the size and duration of the study, our aim is to ensure a highly positive study outcome and to generate an even more robust data in a broad patient population to successfully compete in this growing and dynamic market. The timing is right to implement these changes now because enrollment is occurring at a very high rate. We have accumulated substantial amount of baseline demographic and clinical data, and our first patients are nearing entry into the open label extension. Based on our current rate of enrollment, together with the updates to the study that I just outlined, we're projecting a modest shift on our time line with data read out moving from late 2024 to first half of 2025. Our broad olezarsen development program also continues to advance and remains the leading program targeting APOCIII currently in clinical development. We designed the olezarsen development program to fully realize the potential of this medicine, including moving it towards the market in 2 indications, FCS and severe hypertriglyceridemia. We have 2 ongoing Phase III studies, the BALANCE FCS study, which is on track for data next year and the core SHTG study with data planned for 2024. In Phase II, we demonstrated robust reductions in triglycerides and APOC3 with monthly 50-milligram dose. And our 2 Phase III studies in addition to evaluating 50-milligram monthly dose. We're also assessing and gaining on the remote dose, which we expect to result in even greater triglyceride reductions. The donidalorsen Phase II OASIS-HAE study is also progressing and remains on track for data in 2024. Earlier this year, we reported additional data from the donidalorsen Phase II study demonstrating clinically meaningful and sustained improvements in quality of life in patients with HAE. Coming out later this year, we plan to report data from the ongoing Phase II open-label extension study, including data from the monthly and bimonthly dose groups. In June, Biogen plans to present new integrated Soperton data from Ballard and the ongoing deals in patients with SADAL who were treated for up to 1 year. Additionally, Biogen remains engaged with regulators to identify potential path forward focus. We also have a rich mid-stage pipeline that we expect to continue to deliver. Here are some of the recent highlights. We're pleased with the positive Phase IIb data on the adhesion study for ION449 or PCSK9 ligaments and patients for high risk of cardiovascular disease, the cholesterol. The study met its primary and secondary endpoints. ION449 demonstrated dose adventive reductions in mean LDL cholesterol levels by up to 79% and PCSK9 levels by up to 94%. The positive results from the AESO study give us confidence that ION449 could change the current standard of care for patients affected by hypercholesterolemia without cardiovascular disease. Additionally, the Solana Phase IIb study of ION449 the line to confirm potential Phase III dose is ongoing. We believe that AstraZeneca will make a decision to further develop later this year based on the adhesion and Solana study results. We also recently completed enrollment in our Phase IIb study of IONIS-AGT-LRx our medicine to treat patients with treatment-resistant hypertension keeping us on track for data in the second half of this year. We're also advancing IONIS-AGT-LRx in a Phase II study in patients with chronic heart failure with reduced ejection fraction, which we expect to read out next year. In addition to the programs I already mentioned, we expect several more data readouts to here, including GSK, to report data from the Phase IIb study in our hepatitis B drug and Bayer to report data from our Phase IIb study of esomarsen or Factor XI LICA medicine in patients with end-stage renal. As I've just summarized, we have a number of important mid- and late-stage programs progress. As the year unfolds, we're looking forward to a steady cadence of data readouts. And with that, I'll turn the call back over to Brett to close the portion of the call.
Brett Monia: Thanks, Eugene. We're off to an excellent start this year. We continue to execute on our 3 strategic priorities that I believe will drive substantial growth for Ionis. Building the Ionis commercial pipeline, including rapidly advancing our 3 near-term commercial opportunities up on tofersen, olezarsen and donidalorsen toward the market and making great progress in building out our commercial organization for these important medicines. We're also continuing to build on the substantial progress we made last year in expanding and diversifying our technology, including advancing our follow-on medicine of SPINRAZA that we announced earlier this year as well as making other important technology advantages. Look forward to sharing further details on these advancements later this year. And our third strategic priority delivering an abundance of new medicines to the market in the near term and the longer term, starting with our planned launch of eplontersen for patients with TTR polyneuropathy as early as late next year. Additionally, we're well capitalized with the resources we need to continue executing on all our priorities. With up to 7 key data readouts expected from our mid-and late-stage pipeline before year-end, the remainder of 2022 looks to be highly productive and eventful. And with that, I'll now open up the call for questions. Operator?
Operator: [Operator Instructions]. And the first question will come from Yanan Zhu with Wells Fargo.
Yanan Zhu: Congrats on the progress in the quarter. So I hope you could elaborate a little bit more on the protocol change to the CARDIO-TTRansform study. Putting things into context a little bit more for us, I think you probably have been monitoring the cardiovascular event rate. And you probably also are looking at the patient -- overall patient mix in terms of disease severity, tafamidis use and all that. So what have the observation been during those monitoring and how does that lead to the decision to expand the study? And also lastly, just curious, have you also looked at the 6-minute walk data? And how does that compare with some of the data that we have seen from other companies?
Brett Monia: Thanks, Yanan, for the question. I appreciate it. And I'll address it and then ask Eugene to expand on it. So as we've been saying, for quite some time now. We have been recon -- onset of this study in the get go, monitoring the enrollment and the demographics for this study. Demographics that relate to, for example, the severity of how sick patients are, New York Health Class Association 1, 2, 3, for example. How much tafamidis usage is in the study versus naive patients, the balance between hereditary and wild patients. Those are the primary things that we're looking at. And all along, we were projecting that we would possibly make adjustments to the study to ensure that study readout was as successful as possible in a really big market in a growingly competitive market. And that's exactly what we did. There were no firearms that we offer anything like that. We're doing something and pulling the trigger on something that we were planning to potentially do all along. It's really less about event rate. It's relatively early on in the study on in those events really start accumulating in the second half of a cardiovascular outcome trial. Sure. We're looking at events. But it's really driven by the demographics and the type and the patient population that we want to have in our study that really ensures we're successful -- highly successful power company. We're not looking at 6-minute walk test that has something to do with this decision. This is all about making sure we have the right patients in this study.  And then the last thing I'll say before ask Eugene if you might expand on is the fact that this is the right time to do that in this study. This is the perfect time. We're early on in the study. We are well positioned to be able to make that decision without having a significant -- really a significant impact on the study timing. It's a modest delay and the expense and the investments are small. You measure that up against the upside that this provides and allowing us to have a very positive outcome is very, very important, very significant. Enrollment is going very fast. We're very strong. So this is the right time to do this study. There's no point making an adjustment like this waiting but this is the time to do it, and it's all for good reasons. Eugene, anything to add to that?
Eugene Schneider: No, that was really, really well characterized. I would only also at the this change also gives us -- maximizes our ability to look at important subgroups within the study, which is also going to be critical for informing practice patterns and providing a meaningful data set for stakeholders when the study reads out.
Yanan Zhu: That's super helpful. If I may ask about the midyear aplonterson polyneuropathy data readout, can you -- would you be able to share any color on what stage are you currently in, in terms of locking the database, data analysis and all that? And any additional color on what -- around what time could we see -- potentially see the data?
Brett Monia: Yes. So as we've been saying, Yanan, and we're right on track to achieve. We've been saying midyear this year, we're expecting the top line data from the Enterphoneuropathy Phase III study. And we're really not providing much more color than that. What I can add to that is that in parallel with the study coming through completion, we're preparing for the filing -- regulatory filing, as we said in our prepared remarks. And we're also planning to -- for the launch. And maybe I could ask Onaiza maybe to provide some color on the preparations we're doing on preparing for the launch with our partner, AstraZeneca.
Onaiza Cadoret: Yes, sure. Yanan, launch preparation it takes a lot of effort across a lot of team members, and I'm pleased to say the teams just had actually a pretty robust launch readiness meeting last week with AstraZeneca out in their offices in the East Coast, and we had really everybody from clinical to CMC and obviously, the marketing teams as well as the customer-facing teams and medical affairs to kind of think through the overall launch preparedness. They are in great shape. It's a collaboration that is really building on each other's strengths. Our knowledge of amyloidosis and being in the market for about a decade and rare disease along with kind of the broad reach and expertise is really great complementary collaboration made in heaven, I would say. So we're in really good shape. And I would say, well ahead of the curve for getting this product launched next year, assuming everything all goes well, and we're expecting to file by the end of the year as well. So teams are ready to go.
Operator: The next question will come from Yaron Werber with Cowen.
Brendan Smith: This is Brendan on for Yaron. Congrats to the quarter, guys. Just a couple of quick ones from us. First, in human resistant hypertension. Can you maybe just remind us what the Phase II readout is going to look like there maybe in terms of the number of patients and what kind of data we can expect? And really, in that same program, I guess, as you're looking ahead to a potential Phase III, is there like a threshold? Or what are you really looking for in terms of efficacy target engagement there that would give you confidence to move forward with the drug?
Brett Monia: Eugene, would you like to take that?
Eugene Schneider: Sure. Yes. So the Phase II data current data is in patients with treatment-resistant hypertension. We're helping basically to see consistent effects with what the earlier smaller study has demonstrated, which range in the order of 10 to 15-millimeter mercury but again, in a larger study, of course, with greater variability, what we're hoping to see, of course, are pilot with significant changes. The study is appropriately sized for this type of exploration. It's in 150 -- approximately 150 patients. So really, there is -- that's all I could tell you at this point.
Brett Monia: And if I can just expand on that a little bit. Thanks, Eugene. Just a reminder, Brendan, we have a pretty comprehensive program ongoing for AGT right now. In addition to that readout for the Phase IIb study later this year in refractory hypertension, we have an ongoing study with that drug in patients with heart failure. And we're looking for that to read out next year. And then coming up behind our lead drug is a new molecule, our Gen 2.5 AGT molecule completed Phase I very successfully and now we're planning to start Phase II. And sometime next year, we plan to look at all the data, lead molecule, the follow-on molecule, heart failure, refractory hypertension, and we will make a decision on what's the best molecule and what's the next step for Phase III. But what we're looking to see is what Eugene said, is confirmation of the proof of concept we already achieved in refractory hypertension in a bigger patient population. And also with good safety, of course. And when I say safety, I mean, on target safety, we need to be very aware of the fact that inhibition of this pathway, the RAS pathway in the kidney can cause kidney issues. And we never -- we haven't seen it in our Phase II study. We don't expect to see it. It's LICA, which is starting to deliver, not the kidney, but we need to confirm that. And once we look at all the safety and the efficacy in the study, we'll make a call on the next step for potentially for Phase III.
Operator: The next question will come from Luca Issi with RBC.
Luca Issi: Congrats on the progress here. So maybe I get your Palo I think the primary endpoint is actually at 9 months. Will that be sufficient for filing both in the U.S. and in the EU? Or will you need to weigh the 18-month data point to file in the EU similar to what has happened to Alnylam? And then maybe on PCSK9, I think pretty impressive knockdown. However, we did see for patients at the high dose experience some ALT elevations. Two of them, I think, discontinued the drug. So wondering how you're thinking about that in the context of inclisiran, at least I'm not aware of that signal. And then finally, any update on the pulmonary franchise post the Ene discontinuation?
Brett Monia: I think, Luca, you've squeezed a lot in there. Happy do our best in addressing all those questions. So yes, we're very excited and very pleased with the data readout ION449, our PCSK9 drug as presented to ACC. There's such an enormous need for more effective LDL lowering drugs for patients at high risk for cardiovascular disease and in continued hydroclesterolemia despite being on stand ezetimibe, despite being on monoclonal antibodies for PCSK9 despite by being on inclisiran. This molecule looks to be the most potent, efficacious PCSK9 lowering drug. ELC bowering drug of any that's been -- that has come out to date. And that's why AstraZeneca is so enthusiastic about this program. So it could be a real game changer for the millions of people suffering from hypercholesterol.  The Phase IIb contingent study with a dose-ranging study. And we achieved reductions of LDL-C greater than well over 70% and in the 90% range at doses where there were no signal on LTE. So it was a 50 mg monthly dose in that study, and 90-milligram dose where we saw, I think, 4 patients with mild ALT elevations. A couple of things worth noting, one is that they're mild; two, the patients to continue dosing and baseline towards baseline. So this is a toxicity. It's in their ALT observation and a very small number of patients at net but more important, Phase II dose. The Phase III doses are going to be in the range of 50 or so in that range because that's what we're achieving our LDL targets there. And there's an ongoing study called Solana, that age is conducting to further confirm the Phase III dose, and that study is looking very good, and they're preparing for Phase III development. So the drug looks very good, very safe, and we haven't seen any bumps in the road. With respect to eclisiran, I prefer not to comment on competition at up what I already said, there's a need for more effective LDLs, so lowering agents. Patients are not getting to their target. And so a drug like ION449 is needed in this patient community. Do you want to talk about pulmonary a little bit, Eric.
Eric Swayze: Sure. So what we're doing in pulmonary is picking up or look at some of our chemical class. And the hope therapy can find some molecules that will become some of the clinical issues we saw within the inflammatory effects of note primates and here we're thinking of some of the new backbone chemistries that we've talked about that allow us to tinker with the properties of the molecule, reduce the baseline potential for inflammatory effects. And we've seen really good data on some of these compounds across multiple programs and are working hard to try and get some data in the relevant species in the not-too-distant future to both advance new chemistries and also potentially moves them into some pulmonary diseases where we think there's lots of potential applications with lots of unmet medical need.
Brett Monia: And we're making solid progress on the -- in the areas that Eric said. We're encouraged. We're very encouraged that the pulmonary programs going to be reactivating on the development side.  I didn't answer your question about eros I apologize you kind of went out of order. So we're planning to file the NDA this year on eplontersen. I should point out that you mentioned 18-month data, remember, our full data set completely 15 months in the NEURO-TTRansform study. But what you're highlighting is the fact that ex U.S. European regulators are -- have set a higher bar for approval. And they have signaled that they would like to see the full data set. With that said, we haven't ruled out ex-U.S. filing, and we're keeping that option open. But we're focused right now on the NDA.
Operator: The next question will come from Jessica Fye with JPMorgan.
Jessica Fye: I wanted to follow up on a prior question about the changes to CARDIO-TTRansform. You talked about them being driven by patient demographics. Are you changing any of the inclusion or exclusion criteria and/or the regions you'll focus on for further recruitment in addition to just increasing the sample size and treatment duration?
Eric Swayze: Thanks for your questions, Jessica. So now we're keeping eligibility criteria the same. We are, however, looking into sort of geographies with fairly specific intention of, again, as Brett said, ensuring that the population we enroll is, number one, representative of sort of the current landscape of patients with ATTR, the full landscape. But also importantly, enabled us to make some inferences for drug effect and important subgroups of patients.
Brett Monia: And that could involve -- and Jess, that could involve prioritizing certain geographies and territories to your second point.
Jessica Fye: Okay. So I guess...
Brett Monia: I should say it will involve.
Jessica Fye: Yes. Because I think in the past, you've talked about your expectations for maybe a 50-50 split between patients who are on background tafamidis and those who are not even though you're not limiting background Pamentis. So is that still your expectation that, that will be the mix?
Brett Monia: With what we've said, Jess, is we want the naive versus peace to be very well balanced. 50-50 would be perfect, but we're looking for a well-balanced versus defamitous usage.
Jessica Fye: Okay. And I guess last one on this topic. Were these changes to CARDIO-TTRansform prompted by a recommendation from the DSMB -- or were they made without DSMB input? And has there been an interim analysis in this trial at this point?
Brett Monia: There's been no interim analysis. We still have an option to conduct an interim analysis after the patients involvement at the appropriate time, but we have done no internal analysis at this stage. This was driven entirely by Ionis. This has nothing to do with the safety oversight committee or even AstraZeneca, we put this forward, as I said earlier in the call. So it's an option. This was always part of the plan not to necessarily do it, but to potentially do it. And we're now triggering that option that we have, and we're in excellent position time-wise and enrollment wise to be able to trigger this today. Of course, we engaged AstraZeneca, and they fully support the decision, and we're working hand in hand with them on implementing that. No, this was entirely driven by Ionis.
Operator: The next question will come from Paul Matteis with Stifel.
Alexander Thompson: This is Alex on for Paul. Just 1 eplontersen planeropathy question and then 1 neuro question. So for planters. Can you remind us, is there a prespecified cardiac subgroup within the polyneuropathy study? And if so, do you expect to have any exploratory biomarker imaging data either at this readout or the full readout? And then on neuro, given that Biogen announced that their pipeline prioritization, have you thought at all about reacquiring any rights to your neuro programs in collaboration with Biogen?
Brett Monia: You take the first one, the cardio subgroup in neuro.
Eric Swayze: Yes. Thanks for the question. So yes, there will be an analysis a look at specific subgroup predefined look in the cardiac subgroup and polyneuropathy study in EU TRANSFORM study. It's -- again, just to remind you, it's not exactly the same population to CARDIO-TTRansform. These patients don't have symptomatic heart failure. They're largely enteropathy patients with mixed phenotype and having some evidence of cardiac cases. So I think that's an important distinction. But yes, there will be an important subgroup down the line.
Brett Monia: Yes. Now it's -- let me just take a step back. We have a very strong partnership and relationship with Biogen that spans 10-plus years and started with SPINRAZA and it's growing and got stronger and stronger over the years. The relationships are strong at all levels in the partnership. We've gone through management changes before at the top with Biogen and without the in the road without any setbacks or anything like that. I actually think that the Ionis pipeline of drugs that we're working on with Biogen have become -- will become an even higher priority. I don't they're going to be on given those up, they're going to be turning the page and we're going to be looking at the drugs like Matt. The follow-on has been run and everything else we're working out with them. I think these will continue to be very high in is like going to be a higher priorities with Biogen. With that said, we're very pleased with our neuro pipeline of drugs that we are growing here at Ionis that wholly-owned Ionis neurology pipeline. And 1 example of that is we're very much looking forward to starting our studies in prime in the second half of this year. One of our lead programs, not our only program but one of the key programs that we've highlighted as a key study initiation this year. So no, I don't think we're going to be reacquiring assets from Biogen as a result of the change in management that they announced yesterday.
Alexander Thompson: And just one clarification. Do you expect any of the cardiac data at the top line midyear or not until later?
Eugene Schneider: No. So the top line will be data on the full population. And all of the subgroups will be reported at a later time point.
Operator: The next question will come from Gary Nachman with BMO Capital Markets.
Gary Nachman: So first, just another follow-up on eplontersen and adding more patients to the cardiomyopathy study. So why didn't you wait until the PN data before making a decision since the data are coming soon? And -- it sounds like we will have some cardio data in there for some of the patients, and it potentially could have been informative to your decision. That's one. And then also for Beth. The $20 million that you got from AZ for eplontersen development costs, is that the kind of number we should expect on a quarterly basis? Or is there some upfront loading in there? And then lastly, just what are the next steps for 449, the PCSK9 program? Do you have an idea what types of dyslipidemic patients you'll target in the next phase based on the Phase IIb data that read out?
Brett Monia: Take the eplontersen?
Eugene Schneider: Sure. I'll take the first question. So related to timing of this amendment. As Brett said, again, we've been mulling this over for quite some time, and the timing of it was one of the key considerations. And we told that the timing now was really kind of ideal for implementing the change such as this one. Why not wait until NEURO-TTRansform? Well, firstly, it's just a very different patient population that we enrolled in NEURO-TTRansform. So we just don't see how this would inform us whatsoever on what we're going to CARDIO-TTRansform. Secondly, the CARDIO-TTRansform changes were really driven by the intentional desires for particular sort of balance in the population characteristics that Brett had outlined.
Brett Monia: Beth?
Elizabeth Hougen: Sure. So on the $20 million, the way to think about that is -- the 55% of our, call it, fully loaded eplontersen, broad Phase III development expenses in the first quarter. So when I say fully loaded, that means external expenses, internal SPE expenses and CMC expenses. So that $20 million is essentially 55% of what we incurred in that Phase III program in the first quarter. So as we continue to see those expenses grow over the course of the remainder of the time, particularly with the cardiomyopathy study. And as we get closer to that data readout and to launching the drug, those expenses in that broad Phase III program are going to continue to grow. And so the 55% that AstraZeneca is responsible for will also grow, and you'll see that each quarter. And it's true that -- it's the same amount -- let me say this differently. The development expenses and the 55% of revenue are for the same quarter. So there's no offset, there's no loading. There's no lag in that. They're live. So as expenses grow each quarter so will the 55% of revenue under the eplontersen joint collaboration revenue line.
Brett Monia: And Gary, regarding PCSK9, if you think about it like this, it's the same patient population that was treated in adhesion. That's why that study is so important. It's actually the same by patient population patients that have cardiovascular disease. So they've had an event in the line, have high LDL cholesterol on moderate to maximum doses of statins and Zetia. That can't get the LDL target. And that would be the Phase III patient population.
Gary Nachman: Okay. Great. And when is that study going to start? I may have missed it, I jumped on late.
Brett Monia: No problem. Actual study start hasn't been disclosed, but what has been is that AstraZeneca presenting we will make a decision on Phase III development in the second half of the year. Remember, there's a study ongoing for that was a study ongoing to confirm the Phase III dose. And so that's not necessarily the same dose that was in Matt. They're looking to really solidify the Phase III dose in Solana. That study is wrapping up. It's really coming to a completion. So -- and that's the basis of the delay in making that decision.
Operator: The next question will come from Mani Foroohar with SVB Securities.
Mani Foroohar: Not to be an entirely dead horse but I want to talk a little bit about the commercial opportunity and strategy around your approach to TTR cardiomyopathy. There's a clear avenue for you guys to have the closest thing to a true add-on label for combination therapy on top of the stabilizer. How do you think about pricing strategy? Should you be approved with a label that has data that supports that use? And how do we think about the pricing opportunity prior to and then after tafamidis genericization in the U.S. versus EU markets?
Brett Monia: Onaiza, would you like to take that?
Onaiza Cadoret: Sure. So you have great thinking over here in terms of the eplontersen strategy. I'll kind of start off with. I think the amendment that we filed here is to really accelerate our leadership position in ATTR from early to late-stage disease. We're looking at about 300,000 patients in cardiomyopathy. The data set that we're going to get, as Eugene said, is really important for all players, including payers as well as clinicians. So as we've gone out in the marketplace and really tested out their target product profile, it is extremely important to generate data that's on top of tafamidis as well as naive because we're going to have in this very dynamic market a set of patients that are going to be either naive to therapy or a lot, particularly in the U.S. treated on tafamidis. And they're going to look for what is your clinical evidence for these patients? And how do I actually treat them if they're already on tafamidis and how do I treat them if their naive? And we will have both data sets to be able to do that. The payer strategy and what we've learned from payers thus far is that they view this patient population as a very sick patient population and terminal disease. And they are not going to manage this actively to say what a physician should do if you're already on another standard of care or you're in combination to that. If the physician requires a combination therapy. That's what they're looking to approve and not necessarily have a step through in this situation, which is one of the questions, obviously, we had. So we are expecting actually a relatively open environment for a payer perspective. Obviously, they all go through prior odds, but nothing onerous in terms of future requirements and/or step-through therapies as well. So we'll price accordingly to where the clinical value proposition is coming out, which is going to be a very robust set of clinical evidence.
Operator: The next question will come from Joseph Stringer with Needham Company.
Joseph Stringer: A quick one from us on Syndelirsen and Acromegaly. -- the Phase II readout second half of this year, monotherapy, what reduction in IGF-1 or perhaps a percent of patients that have normalized ITF1. Would you be looking for or that would give you confidence in this program going forward?
Brett Monia: Eugene, do you want to take that?
Eugene Schneider: Sure. So really, the remaining need here is being able to achieve normalization of IGF-1 and that's really the bar that we set for this drug, both in the monotherapy setting as well as in the at-home setting. So outside of that, I can't really speculate what the threshold in terms of responder rate that would get us really excited but we're obviously planning for a very positive readout in terms of IGF-1 normalization.
Onaiza Cadoret: Yes. I would just add here that both sets of data on monotherapy and in addition to SSAs are going to be really important here from a market perspective as well. And we'll have both sets of data. And their people are still seeing good breakthrough attacks over here. So I do think that IGF normalization is a key goal, but having such data as monotherapy as well as in combination will be very important.
Operator: The next question will come from Salveen Richter with Goldman Sachs.
Unidentified Analyst: This is Matt on for Salveen. Just going back to 449, could you guys discuss your thoughts on market strategy or pricing -- and then separately, could you give us an update on your ALS programs, in particular, when should we expect Phase I/II data for 541?
Brett Monia: So for 541, that's our ATXI drug in sporadic or nongenetic ALS. Biogen is running that study, and they haven't disclosed timing, but I would look towards next year for that data readout. And of course, we're very much looking forward to that. and that could go to Phase III based on the results of positive. Onaiza, would you like to talk a little bit about commercial opportunity and really touch on pricing much for PCSK9, but why don't you go over it?
Onaiza Cadoret: Yes, sure. Really large market. You know about 11 million to 16 million patients. So a very large population that's still uncontrolled on maximal tolerated statins. The guidelines are really creating aggressive here because of the cardiovascular risk for these patients, particularly secondary prevention, and they're leading to about 70 milligrams per deciliter in the U.S. and 55, actually, milligrams per deciliter outside of the U.S. So really good momentum, I would say, in terms of aggressive guidelines to treat, which I think will help this entire market growth substantially. Etesian showed you some tremendous LDL-C reduction, which is well above what the MAbs have shown and also well above what inclisiran has shown in this area. So just to put it into context, we're looking at about the 50% range for Leqvio, about the 60s for the MAbs and we're looking at in the 70s for our PCSK9, which is going to be a really substantial improvement in LDL lowering, and we expect with all the modeling, this will also translate into really good MACE reduction as well. That positioning is what will drive the value proposition and kind of the pricing strategy and also which level of area that we actually want to go into in terms of the reimbursement scheme as well. So it's really well positioned to do well. But the efficacy profile -- the best-in-class efficacy is what's going to kind of drive the go-to-market strategy for this agent.
Operator: The next question will come from Myles Minter with William Blair.
Myles Minter: Just in your prepared remarks on 449, you did say AstraZeneca is going to make a formal decision on the Phase I in the second half, but the commentary on the call today seems to be like that's well and truly going ahead. So Brett, can you just clarify what prepping for Phase III development actually means? Is that just getting these Phase II trials done? Or have you seen a protocol? And then, Beth, can you talk to the milestone structure, if anything, on that deal if a Phase III has started up in the second half? And my last one is just on the muscle LICA program. Are you planning to take a single asset into IND-enabling studies there? I know you have multiple collaborations and programs there? Or would you take multiple programs into the tox studies?
Brett Monia: Thanks, Myles, yes, this is -- AstraZeneca is not planning to start Phase III development from a stock position after the ongoing salon data reach out. They're very much preparing for Phase III now. That includes making the drug, getting the drug ready and the next I'll explain the protocol sure protocol is being developed and they're preparing for an end of Phase II meeting. So -- and we're working very closely with them on this program. So all that is in motion. All that is happening. We're really just waiting on finalizing the protocols and getting ready for regulatory interactions. Obviously, we had -- they've had regulatory interactions previously, but now at the end of Phase II interaction for that and getting drug ready. So yes, all those wheels are in motion. And as far as the economics of that, Beth?
Elizabeth Hougen: Sure. So we've already earned a substantial amount of revenue from this program. So now as we look forward to the next step, there aren't any milestones associated with Phase III, but there are a substantial amount of milestones for sort of common regulatory type events. And then a very significant amount of commercial milestones that add to our tiered royalties that go up into the teens.
Brett Monia: Muscle LICA, Eric?
Eric Swayze: Yes, sure. So what we stated as we're have an objective to advance on muscle LICA into development this year. As you know, we have lots of programs. We have to start one first before we get to May, I think. And there's lots of great opportunities there. We have lots of preclinical programs, and we plan to be aggressive in picking off the best clinical opportunities and where there's the most unmet and moving those programs forward.
Brett Monia: Yes. I mean we're -- just to put a point on that, Myles. Eric's under pressure to move several LICA development because the state is really looking great. I also remind you that we have our own muscle LICA programs, Ionis wholly-owned. We also are working on neuromuscular diseases with Biogen. And we also have an excellent partnership with AstraZeneca in cardiovascular disease aka cardiac. So we have a lot of goals here and things are moving forward. But what will be first is less important than I think just of your question, which is we expect to have a rich pipeline of muscle LICA drugs in development in the future.
Operator: The next question will come from I-Eh Jen with Laidlaw & Company.
I-Eh Jen: Congrats on the progress. Just 2 quick ones. The first one, just wanted to clarify that in terms of the cardio transform trials, -- does that include any patient with a mixed phenotype. In other words, with the polyneuropathy patients or simply pure hall and cardio side?
Eugene Schneider: Yes. No, it very much includes some patients have exenatide. We are certainly aware of how significant of an overlap there is between the two sort of edges of the spectrum, if you will, that used to be considered very separate diseases, but really are manifestations of the same pathology in different organ systems. So yes, we are looking at neurological endpoints appropriate for the patient population.
Brett Monia: And I-Eh, it's an interesting question. There's more and more attention in this field being paid to the neuropathy symptoms that patients with wild-type cardiomyopathy have. So it's a very relevant question. It's something we are paying very close attention to, and it will be something we're assessing in the CARDIO-TTRansform study like Eugene said. So thanks for the question, I-Eh. We're unfortunately, we're over time. So we're going to have to close the call. I really do want to thank everybody for joining today and participating on the call. We're making great progress at Ionis. We're very happy about quarter, and we're very excited about the rest of the year ahead, and we look forward to providing additional updates throughout the rest of the year. So until then, thanks very much, and everybody, have a great day.
Operator: Goodbye.